Operator: Good afternoon, everyone, and thank you for waiting. Welcome to GOL Linhas Aéreas Inteligentes Fourth Quarter of 2012 Results Conference Call. With us here today, we have Mr. Paulo Sérgio Kakinoff, CEO; and Mr. Edmar Lopes, CFO. This event is being recorded. [Operator Instructions] After GOL Linhas Aéreas Inteligentes remarks, there will be a question-and-answer session. [Operator Instructions] This event is also being broadcast live via webcast and may be accessed through GOL Linhas Aéreas Inteligentes' website at www.voegol.com.br/ir, where the presentation is also available. Participants may view the slides in any order they wish. The replay will be available shortly after the event is concluded. Those following the presentation via the webcast may post their questions on our website. They will be answered by the IR team after the conference is finished. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of GOL Linhas Aéreas Inteligentes management and on information currently available to the company. They involve risks and uncertainties because they relate to future events, and therefore, depend on circumstances that may or may not occur. Investors and analysts should understand that macroeconomic conditions, industry conditions and other factors could also cause results to differ materially from those expressed in such forward-looking statements. Now I will turn the conference over to Mr. Paulo Kakinoff. Mr. Kakinoff, you may begin your presentation.
Paulo Sérgio Kakinoff: Hello, everyone, and thank you for joining us today in our earnings conference call for the fourth quarter and full year of 2012. Let's begin with Slide 4, where we show the main initiatives in 2012, the year that was marked by the company's measures to expand in its strategy, reinforce its focus on the clients through the development and enhancement of services and initiatives to maintain GOL's low-cost DNA. On the cost side, we decided to wind up Webjet's operations and consequently, remove all 737-300 aircraft from service due to the exceptionally high fuel-cost inefficiency and maintenance cost. We also had to adjust the company, resulting in a 15% reduction in the workforce. These adjustments were absolutely necessary in order to ensure GOL's sustainable growth in the coming years and were done due to a challenging scenario faced by the domestic industry. An 18% fuel increase, devaluation of the real against the U.S. GOL in 17%, an increase of over 30% in airport fees year-over-year and a growth below-than-expected for the Brazilian GDP were the main drivers in this tough year that we are leaving behind. At the same time that a lot was done on the cost side, we also put focus on our clients and the improvement of our services. GOL was the country's most punctual airline and also managed to increase its remote passenger check-in ratio, showing that it was capable of innovating highly efficient airport operations without reducing service inquiries. This performance is the result of one of the many synergies related to the integration of Webjet. We also introduced several initiatives along the year to provide our clients with even more benefits, including special seats, the expansion of Buy on Board service, the improvement of the partnership base and greater flexibility in regard to anticipating flights at the airport. In terms of strategy, GOL acted fast, adopting its operating capacity to this new market reality, having less the drive to reduce domestic supply since the beginning of 2012. For 2013, the company has already announced the curbs of domestic supply, ASKs, of around 7%, meaning a reduction of more than 10% in 2 years, reinforcing the company's commitment to resuming operating margins. The new international flights to Santo Domingo and United States are also part of this environment. In addition to exploring a high-growth market and offering our clients more options, this operation allows us to reroute domestic operating capacity to the international market, using the same model of aircraft. The creation of the Brazilian Airline Association, ABEAR, is a clear sign that the local airline industry is changing in terms of both organization and concern with sustainable growth in the years ahead. The association will help ensure a more organized aviation sector that is sustainable in the long term. The association has already achieved an important victory for the industry and continues to work in material discussions for the development of commercial aviation in the country. A new route network was designed at the end of 2012 and implemented at the beginning of 2013, resulting in more convenient flight times, routes and connections, as well as an adjustment of the route network due to the continuation of Webjet's operations at the end of 2012. GOL also focused on strengthening and developing its SMILES loyalty product. Since January, a fully fledged company business unit called SMILES S.A., which is currently preparing for its IPO. We believe in the potential of loyalty programs in the coming years and the benefits that a combination of this business will add to the GOL group. In October 2012, we announced an additional award of 60 Boeing 737 MAX aircraft for delivery as of 2018. This decision exemplifies GOL's low-cost DNA, ensuring a competitive cost advantage in the long term, using that business model is even more efficient than we currently have. Moving on now to Slide 6. Here, you can see an important supply rationalization challenging the Brazilian market. Visibly, we experienced double-digit growth. On fourth quarter '12, our quarter of strong supply growth, the industry recorded a decline in supply of 5% in the fourth quarter, 7% in January and 11% in February 2013. In fact, the current moment is unprecedented in the history of Brazilian aviation. Slide 7 shows the new behavior of the leading market players, who have begun to follow the supply and reduction initiated by GOL in April 2012, an important sign that Brazil's airline industry is one -- is on the way to constructing a more sustainable environment. On Slide 8, we show that GOL was more aggressive than its peers in cutting supply in fourth quarter '12 and also in 2012, with respective reductions of 15.5% and 5.4%, showing the company's commitment to recover operating margins. It's also worth noting, the modest growth of the national industry in 2012, just 2.7% in supply and 6.8% in domestic demand. Moving on to Slide 10. And still within the rationalization trend in which the company played a key role, GOL announced a supply reduction target of between 8% and 10% in the first half of 2013 and a reduction of around 7% for the year, both of which in 12-month terms. This reinforces the company's aim of achieving a rough growth of at least 10% this year and recover operating margins. On Slide 11, the company highlights its strategy of recovering yields and emphasizes a 17% growth year-over-year of this, indicated for February 2013. This strategy, together with an improvement of load factor, as seen on Slide #12. It is GOL's focus so that a better combination of load factors and use, which can lead us to a passenger revenue per ASK increase. On fourth quarter '12, yields were up by 2.3% and load factor was up by 5 percentage points. The combined effect of these variables, as shown on Slide 13, resulted in a PRASK growth of 9.2% in fourth quarter '12 and 14% in February 2013 year-over-year. This is the 11th consecutive monthly upturn for this indicator. For March 2013, this growth trend should remain. In line with the rationalization strategy and the commitment to resuming operating margins, the company announced the minimum PRASK growth target of 10% for 2013. On Slide 14, we can notice that GOL trimmed its workforce by around 15%, which was a fundamental factor in controlling costs. From December 2012 to March 2013, GOL reached the reduction of 7.4%. The company remains focused on strengthening its low-cost DNA. On Slide 15, you can see that GOL became the country's most reliable airline, with an average punctuality ratio of 94% in 2012. GOL continues to remain focused on high levels of quality and genuineness in its services. Another highlight, as you can see on Slide 16, was the continuing increase in the use of remote check-in facilities, smartphones, Internet and tokens, that after the implementation of the concept of fast travel, reached about 20 million passengers who barely got lines at the airport in 2012. Currently, we are focused on implementing initiatives that make up this concept, created by GOL, with the objective of providing greater simplicity, agility and mobility for our passengers. Slide 18 shows the results of all our efforts in 2012 to offer our clients more options and increased comfort. Exemplified by the special seats on the Rio-São Paulo shuttle, the new flights to Miami, Orlando and Santo Domingo, the expansion of on board sales, which are now present on 50% of our flights, and the sale of tickets via Facebook. In 2012, GOL became more flexible in regard to anticipating flights in the airports, an important convenience for business fliers. Also, with its eye on the segment, in February the company introduced the new network with more convenient times, routes and connections for business passengers. Gollog, GOL's cargo unit also reached the important mark of more than 3.5 cities covered and opened a new terminal in Guarulhos. Moving on to Slide 20, which deals with the loyalty program. In 2012, we achieved our aim of turning SMILES into an independent company, the SMILES S.A., ready for an IPO. In February 2013, the SMILES S.A. filed an official request for registration as a publicly held company and for authorization to hold an IPO with the CVM, the Brazilian SEC. Today, we'll wait on a positive sign from CVM to proceed with our plans. GOL believes that the separation of the business units will add more value to the group. 2012 was marked by measures to strengthen the product. As you can see on Slide 21, several new products were launched, including the SMILES Shopping, SMILES Purchases, the new ticket redemption platform of the international alliance partners, exclusive flights, the new pricing framework and new partnerships, among other changes. In addition, SMILES recorded annual growth of 9% in its client base. I will now hand you over to Edmar, who will present our results for the period.
Edmar Prado Lopes Neto: Good morning, everyone in the U.S. Good afternoon for those who are here in Brazil. Thanks, Kakinoff. I will go over Slide 23. And we -- here, we highlight the main factors that affected our results in 2012. The first one is the growth in the fuel price over the year, 18% on average. And especially on fourth quarter, we faced the highest price ever for a quarter in terms of jet fuel in Brazil. This is beyond BRL 2.4 per liter, and it -- this level of price remains for the first quarter of 2013. The second issue that we would like to highlight is the depreciation of the real by 17% against U.S. I do remind you -- remember you, that in our cost structure, we have 55% of our costs related to the FX. So these 2 items alone combined had an impact, as for fuel alone, of BRL 680 million in 2012. And remember that, also, we are reducing our ASKs. I'm talking only about price. As announced earlier in the year, we saw also the airport fees going up by 30%. This is another BRL 164 million that were impacting our results in 2012, beyond 2011. The fourth item we would like to raise is the Brazilian GDP growth. Everyone knows now that we started with the year with a perspective of roughly 4%. The numbers were coming down along the year. And at the end, we saw -- barely saw 0.9% increase. For sure, it does affect our revenues because still in Brazil, demand is very sensitive to profits. This factor alone, range of size, reinforced our commitment to go deeper in the cuts. Please be aware that when we announced the first guidance for the year, we were still looking for maybe a shy growth in terms of ASKs, but the economic environment did not help us. So we had to move fast in the changes. Therefore, the number of minus 5.4 and the guidance that we have for 2013 are very much aligned with the view that we have of the market side. Also because of the items just -- that I just mentioned, we have decided to anticipate Webjet grounding the plane. We have plans to ground and to return them on a soft way throughout 2013. But because of the market side, that is the demand, which was very weak, and also on the cost side, therefore, jet fuel levels, we decided to ground all the planes in December -- in November. Also at the end of the year, we saw that there was an impairment of VARIG's brand. Now I will invite you to go over the next slide. That is Slide 24. And there, we see the main financial and operating -- operational indicators. I would like to highlight first RASK. RASK went up 4.5% year-on-year. And if you look at the numbers for the fourth quarter, you'll see that it's a double-digit growth in the fourth quarter. It shows exactly what happened in the year. That is, we had a very soft -- mild first half. And improvements on the RASK side are coming after we decided to cut capacity. That is, after April and especially after -- especially during the fourth quarter, when we see our RASK growing by 2 digits. Also, going over the cost side, I would like to highlight that our ex-fuel cost adjusted, and adjusted here means that I'm speaking of the BRL 196 million cash flow provisions and additional costs incurred, one-offs incurred, in the fourth quarter, our CASK would be 9.78. That is an increase of 4.3% against the previous year. And even with the real being, again, depreciated by 17%, there is -- the FX impacts roughly 20% -- 25% of our ex-fuel cost, as well as we have to deal with the fact that we are cutting capacity at the same time. At the bottom of the chart, you can see that, as I mentioned before, we faced the highest fuel price ever in Brazil. And the first quarter, I can anticipate, we are dealing with the same numbers. Moving on to Page 25. We have a brief summary of all the results from 2010. And as I mentioned, we came short in the revenue, especially due to the weak demands. On the cost side, we had an impact, fuel, BRL 680 million; airport price, airport fees and BRL 164 million; and we had another BRL 140 million for aircraft lease related to the FX alone. So the combination of those 3 items alone would grow roughly BRL 1 billion, and it does explain what happens with the operating margin of the company in 2012. Moving on to EBITDAR, which is an item I will go back later in the presentation. We saw that we closed the year with a BRL 250 million EBITDAR. If we do exclude the one-offs, EBITDAR would be 455 against the 656 in the previous year. We saw, in the last 3 quarters of the year, a normal split EBITDAR. And in 2013, with the new guidance that we have just announced last night, you'll see that there will be a fast recovery in terms of EBITDAR growing quarter-over-quarter. And this is exactly what is happening -- what is affecting our leverage at the end of the year. The leverage reached its peak. And now we are starting to change bad quarters for better quarters and leverage will come down very fast during 2013. Also, to talk about the net income, what we saw is that the results were affected by the depreciation of the real. This alone would add another BRL 300 million, roughly BRL 303 million -- BRL 300 million in our expense and financial arm. Just considering the one-offs, our EBIT margin would be minus 7.6 for the fourth quarter and minus 8.7 in the -- for the full year. This is already -- this is an issue, which is very important because if you bear in mind that we will post a low-single-digit margin on the positive side for 2013 no matter what quarter, you will see that our turnaround actual margins will be at least roughly 10 percentage points of margin, showing the amount of the effort that we made with all the measures that Kakinoff just went through a few minutes ago. Moving onto the next stage, talking about financial indicators. It's just going over everything that you've seen on the financial statement. You'll see that in the fourth quarter of 2012, we saw the revenues coming down by 5%, comparing to the previous year, while our capacity decreased by 15%. That is, we are increasing revenue in terms of units and we have a better policy over this. This is very much reflected on our RASK going up to BRL 0.17. On the right-hand side of the top of the chart, we see that our CASK reached a high level for the fourth quarter. And that this -- I would like to make an observation. As for fuel, I have already went -- gone over that. Fuel alone would add BRL 0.012 in terms of year-over-year. And on the ex-fuel side, we have to deal again with the difference in timing. That is, we ground the planes and the numbers of ASKs came down immediately. And we did that during the month of November. While it takes a while for the cost to come down. That is, how we still have to pay the fees -- the wages for a while before we, at the end of the day, we finish the full operations. So why I'm stressing here, because when we go over to the first quarter of 2013, we'll go back to the levels that we were before. That is, we have adjusted the company to this new capacity. On the bottom of the page, we see EBIT margin minus 17%, roughly. And excluding our one-off, as mentioned before, it would be minus 17%. And on the right-hand side, to the bottom again, I would like to highlight exactly what I mentioned before. That's the chart for the EBITDAR. One may see or one can see that the EBITDAR for the year primarily was the EBITDAR that we had on the first quarter. From then on, we were dealing with the resizing of the company and one-offs and additional costs while we were adjusting our capacity. From now on, we will post positive numbers for EBITDAR, that is, the leverage will come down quarter-over-quarter to a much better levels at the end of the year. And I would like to highlight here, that if you look at our financial statements, the -- as for financial debt, it remains at the same level of 2012. That is, there was no increase as for debt. The leverages reflect very much the lack of results that we saw in the last 12 months. Moving onto the next page, Page 27. This is the chart that we show every month, every quarter and it's related to our cost level. We compare ourselves with our peers. We saw a spike in the fourth quarter. I think you -- I have covered all of the reasons now. But the message here is we will go back to the levels below BRL 0.05 from 2013 on, related to the effort that we have made in spite of -- although, we are still cutting capacity by another 7 percent this year. Moving onto the cash position and debt profile, and before I -- and then I will hand over to Kakinoff, this chart takes into account the waivers that [Audio Gap] the ones in Brazil, as for the debentures. So the -- they are not coming due in the short term. They are at their regional mature -- maturity. And as for cash, we are showing the BRL 1.6 billion, that 1% that they owe for the year. We issued a bond back in February, USD 200 million. And this is to protect our liquidity for the quarters to come. From now on, this number that we see won't change much. And we -- this is an important chart for us because this -- you had seen one of our pillars during this rough forecast cycle that we face. Now that the company will recover the margins, we will have some relief on the cost pressure, on the margin side and on the cash position as well. By saying that, I will hand it over to Kakinoff again, and he will talk about our guidance in 2013 and final comments. Kakinoff, please?
Paulo Sérgio Kakinoff: Talking a little about our path for the year, Slide 30 shows our financial estimates for 2013. The company remains really focused on its strategy of rationalizing supply in the Brazilian market. And we announced a reduction in domestic supply of between 8% and 10% in the first half, and a decrease of around 7% for the full year, both in 12-month terms. The macroeconomic environment remains uncertain. Most is specifically the major risk that the company sees in the projection of GDP growth for the year 2012. If it reaches a lower level than I expected, surely this guidance might be revised, affecting demand for the whole period. We are taking the measures in order to achieve RASK growth of at least 10% and as recovered operating margin. I just mentioned about the company, should be in between 1 percentage and 3 percentage. We also estimate a positive operating result for the first quarter of 2013, higher than in the same period of last year. This improvement in the results will make all metrics of the company come to a much healthier level, especially those related to leverage. Last, but not least, on Slide 32, we are reinforcing our commitment to a transparent and constant communications at the market, something we value here. We are more than ever committed to the diffusion of the company's strategy through its efficient initiative, maintaining our focus on adjusting domestic supply and recovering operating margins. SMILES is a top priority. We are moving towards an IPO, with an independent management specialized in the business model. At this moment, we are just waiting for the CVM's response to move on. Expanding and enhancing our passenger services and keep a solid debt profile and a strong cash position are drivers for the year. These initiatives aim nothing but to recover operating margins over this year and taking the company to a new, positive cycle. Thank you, all, for your attention, and we will now begin the question-and-answer session.
Operator: [Operator Instructions] Our first question comes from Mr. Michael Linenberg with Deutsche Bank.
Richa Talwar - Deutsche Bank AG, Research Division: This is actually Richa Talwar filling in for Mike. My first question is just on CADE's opposition to trimming your workforce at Webjet. I just wanted to know if you can comment on whatever became of that?
Edmar Prado Lopes Neto: Richa, this is Edmar here. There is no opposition from CADE as for trimming the workforce with Webjet, okay? There's nothing -- as for CADE is related, we have done everything that was under the APRO.
Paulo Sérgio Kakinoff: This is Kakinoff. Actually, that's a misunderstanding. It was -- during the approval process, there was the so-called, APRO, which foreseen the company, not allowed to have any kind of workforce integration or even dismissals. So after the CADE has approved it, the integration process, it had approved without any kind of restriction, therefore, this is a misunderstanding related to this time when the CADE was just analyzing the process, but not -- came to any conclusion at that moment.
Richa Talwar - Deutsche Bank AG, Research Division: Okay. So there's no risk that they're going to come back and say anything related to that? I mean, you satisfied all their requirements on the Webjet acquisition, correct?
Edmar Prado Lopes Neto: Yes, we did.
Richa Talwar - Deutsche Bank AG, Research Division: Okay. And then the second question is, I noticed your CapEx plan declined quite significantly for the next few years. I believe it's a little under BRL 1 billion for 2013 and then almost BRL 2 billion for 2014. And I was just wondering what drove that decrease.
Edmar Prado Lopes Neto: Richa, this is Edmar here, if you look at our -- first, our CapEx is 95% related to aircraft, which is one. Secondly, we are -- how we have a -- the fee plan has been capped. We have changed just by a slight change over 2014. And we are counting here that we will have more, by 2013, we have more 800 flights than we have nowadays. That is, we are receiving 800 and we are phasing out from the operation, the 700. That is, we are adjusting our commitment for the future related to this fact, okay?
Richa Talwar - Deutsche Bank AG, Research Division: Okay, great. And then one more. On ancillary revenues, do you have any new product ideas for 2013 that we can expect? Any goals related to ancillary revenues?
Paulo Sérgio Kakinoff: It's going to improve surely, basically, because we are increasing the Buy on Board service to all the aircraft and also due to the SMILES natural growth. But once we are in the quiet period for the SMILES and unfortunately we cannot give the guidance for 2013. I hope you can understand.
Edmar Prado Lopes Neto: And Richa, just one word. Please remember that here in Brazil, we are not allowed to charge for bags. So it does limit the potential growth that we have. We are only allowed to charge for extra weight, okay?
Operator: Our next question comes from Mr. Duane Pfennigwerth with Evercore.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay, so just on the fourth quarter, I think your yield, as reported, was up about 2%, and your January traffic, I believe, you said it was going to be up 5%, or actually that was in your December traffic, reported in January. So I was wondering what drove the difference? It looks like your RASK was -- total year-in revenue was in line, but your yield was lower. What drove that difference in reporting?
Edmar Prado Lopes Neto: Duane, this is Edmar here. Would you please repeat the question, please?
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Yes, I believe when you reported your December traffic in late January, I believe you said yields for the fourth quarter were going to be up 5%. And as reported, they were up 2%, yet your unit revenue was in line. I'm just wondering what the difference was on the yield, if some revenue was transitioned from passenger revenue to other revenue.
Edmar Prado Lopes Neto: Duane, this is very much related to total revenue, to RASK rather than PRASK, okay? Consider it as RASK rather than PRASK for this month of December.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then just, Edmar, could you comment on February? It looked like the yield increase indicated a bit of a trend change, a bit of acceleration in terms of the yield increase, up 17%. Can you comment on what happened in February? And is there anything sort of onetime in nature that occurred in that month?
Edmar Prado Lopes Neto: Duane, first, that is -- it's a very good question, okay? But there are a few issues here that we would like to highlight. The first one, if you look back in the past, when it came to February and March, the companies were putting the prices down because it was the end of the high season. This is not happening this year, okay? Secondly, we saw that our competitor has changed its pace of taking capacity out. Remember that by the end of the year, TAM was taking capacity out by very shy numbers, low single digits. And they are announcing now double digits. This indeed is in line with our strategy. We announced that because we have been the company that has been cutting the deals. Also, to compare this year with the previous year, we had cargo earlier in the year, that is early February rather than late February or even March. So this helps here in Brazil for the business customers to come back. And when the business customers come back, we have an opportunity to charge for more and we see better yields. But the main trend here is, at least for February, March and early April, we have seen that the yields R&D in a different level, showing that all the effort that we have made as for cutting capacity and not giving away load factor is really showing the results, okay?
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And if I could just sneak one more in. Can you give us any guidance in terms of total capacity growth, not just domestic, but your system capacity growth expectations for this year?
Paulo Sérgio Kakinoff: Unfortunately, we can't, because we don't have the established -- the new international network flying over Santo Domingo. As we -- to as previously mentioned, there is an intention to increase the route flying over Santo Domingo and that is not already defined, once it depends on the Dominican Republic government affairs. So therefore, we are not able, at the moment, to give you any guidance on international offer for this year.
Operator: [Operator Instructions] This concludes today's question-and-answer session. I'd like to invite Mr. Paulo Kakinoff to proceed with his closing statement. Please go ahead, sir.
Paulo Sérgio Kakinoff: So I just would like to thank you all very much and remind you that we are fully available for your questions whenever you would like to get in contact with us. I hope you all have a very nice day. Thank you very much.